Operator: Good day, and thank you for standing by. Welcome to the Flowers Foods Third Quarter 2022 Results Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, J.T. Rieck, SVP of Finance and Investor Relations. Please go ahead.
J.T. Rieck: Thank you, Gigi, and good morning, everyone. I hope you all had the opportunity to review our earnings release, listen to our prepared remarks and view the slide presentation that were all posted yesterday evening on our Investor Relations website. After today’s Q&A session, we will also post an audio replay of this call. Please note that in this Q&A session, we may make forward-looking statements about the company’s performance. Although we believe these statements to be reasonable, they are subject to risks and uncertainties that could cause actual results to differ materially. In addition to what you hear in these remarks, important factors relating to Flowers Foods business are fully detailed in our SEC filings. We also provide non-GAAP financial measures for which disclosure and reconciliations are provided in the earnings release and at the end of the slide presentation on our website. Joining me today are Ryals McMullian, President and CEO and Steve Kinsey, our CFO. Ryals, I’ll turn it over to you.
Ryals McMullian: Thanks, J.T., and good morning, everybody. I appreciate you joining our third quarter call. Before we get started on this Veterans Day, we’d like to recognize the contributions of our servicemen and women, both past and front. We thank you for your service to our country and the sacrifices you have made for our freedom. Moving on to our results, we executed well in the quarter, driving third quarter sales to record levels. Our performance in this challenging consumer environment demonstrates the resiliency of our business and the ongoing effectiveness of our strategy. Consumers continued to express a preference for the differentiated attributes of our leading brands and we are focused on maintaining our momentum with investments in innovation and marketing, including our new agile innovation capability. I have never been more optimistic about our prospects and I am excited about the initiatives we have in place to drive future growth. As always, our team is committed to delivering results in line with or better than our long-term financial targets. And so with that, Gigi, we can open it up for questions, please.
Operator: [Operator Instructions] Our first question comes from the line of Bill Chappell from Truist Securities.
Bill Chappell: Thanks. Good morning.
Ryals McMullian: Good morning, Bill.
Bill Chappell: Hey, just wanted to talk a little bit more about store branded in your prepared remarks and just the growth in the quarter. I guess, one, maybe help us understand how that’s continued to trend as we moved into October and November if you are continuing to see an acceleration of store branded versus brand or trade-down, in general? And then two, I think you had mentioned that it was really a one retailer that was not allowing you to or not allowing pricing to come up. And I am trying to understand why that’s the case, in part, because I think you manufacture some of the store brand for that retailer and so I was just trying to understand the pricing dynamics? Thanks.
Ryals McMullian: Sure, Bill. Just generally, to start off, as we have been saying all year in a challenging economic environment like this, you would expect to see some trade-down to private label. And looking across the market, that has held true. Private label gained 100 basis points of unit share in the quarter. But digging down a little deeper into that, what you see as we mentioned last quarter, is that this is very concentrated in the mass channel. In the mass channel, some of the retail prices on private label have been held down a little bit lower. If you flip and look at grocery, the story looks quite a bit different. In fact, we gained 10 basis points of share in grocery in Q3 and then later in the quarter that actually accelerated and we gained 60 basis points of unit share in grocery. So – and then also as we got towards the end of the quarter, to answer your trend question, we actually saw that rate of growth in private label slow a bit, now too early to call that a trend, but we did see it slowdown some. As far as our own results go, you did see a large increase in private label sales. But remember, we also took significant price increases in private label, which frankly we needed anyway harking back to our portfolio strategy, where not only are we trying to shift our mix to more branded retail, but in other parts of the business that are lower margin, we have been working furiously to improve the margin of those lower margin items. So between SKU rationalization, price increases, strategic businesses, et cetera, that’s all part of our strategy. So overall, market-wise, yes, private label has shown a little bit of strength, certainly show dollar strength in Flowers, but the unit story is a bit more nuanced.
Bill Chappell: That’s helpful. And then, Steve, maybe a little bit on s I look out on gross margin, I know you are not giving guidance at this point for ‘23, but how are you thinking about it? I imagine with your hedging program, some of the higher or the lower cost hedges will be rolling off and you have covered some of that with pricing. You also have the cost savings program, which certainly helps. But then you have maybe private label, which you do make, which is lower margin that is growing faster right now. So is there still a strong opportunity for gross margin expansion next year or is it going to be more challenging?
Steve Kinsey: I mean, as you said, we are not prepared to give guidance for next year. But we are seeing the same things you are hearing from other companies. We continue to expect inflation to be strong. And we look particularly at some of our input costs, still a lot of volatility in weeks although remaining pretty true to our hedge strategies and labor, transportation, all of those continue to show significant inflation and really no signs of any of that reverting at this point. So without getting into specific set for 2023, I would say you could continue to expect some of the same pressures you’re seeing this year with regard to gross margins.
Bill Chappell: Okay, I will turn it over. Thanks so much.
Ryals McMullian: Thank you, Bill.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Connor Rattigan from Consumer Edge.
Connor Rattigan: Good morning, guys. Thanks for the question.
Ryals McMullian: Hi, Connor.
Connor Rattigan: So as we start to lap inflation and pricing is largely catching up, can you share any thoughts on sort of the balancing act of recovering gross margin while protecting market share. So I guess if shared trains maybe start to slow while certain retailers are unwilling to pass on pricing, are you open to introducing more promotions, even if that means maybe a longer time horizon to recapture that lost margin over 2022?
Ryals McMullian: Yes. Look, I mean, obviously, there is always a tricky balance, as you say, between covering these inflationary costs and holding your market share. And I think so far, we’ve done a pretty good at. And our shares remain pretty steady even in the midst of this environment. So far, the competitive environment has remained pretty rational. We are doing some promotions. As you might expect, DKB being a super-premium item, we’ve had a little bit of unit share – a little bit of unit share loss in DKB. And so we’ve done some targeted promotions, right, to hold on to those consumers. But for some folks, obviously, that’s going to be out of reach in the short-term. And that’s why it’s also important that we keep up our media and advertising, digital, social campaigns to make sure we keep these brands, front and center, in front of those consumers. So, that when relief does come and thankfully, at least we got a better inflation report yesterday, hopefully, that trend continues. As that relief does come, they come back to the brand. We’re very attuned to the number of households that we’ve gained since 2019. We certainly want to hold on to those households. But there – as you say, there is a balance that we deal with daily.
Connor Rattigan: Great. That was helpful. And then also, I wanted to ask about maybe any impact from Hurricane Ian in the quarter. I think you had a few bakeries located in Florida. Did you maybe see any out of stocks or empty shelves for a while with those bakeries shutdown for a period of time or maybe was there a bit of pantry loading before the storm?
Ryals McMullian: Yes. So typically, we tend to perform really well during hurricanes. And frankly, I’m glad you brought it up because as you look at our share performance in the quarter, remember that last year, in the third quarter, there were four named storms, and we typically outperformed the competition in these storms. And this year, we only had one. So it does have some effect. I don’t want to overemphasize it too much, but it does have an effect on our share. But we didn’t have any – thankfully, we didn’t have any shutdowns. All of our people were safe. And so as usual, the team did an outstanding job keeping the market served.
Connor Rattigan: All right, great. Thanks, guys.
Ryals McMullian: Okay, thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mitchell Pinheiro from Sturdivant & Company.
Mitchell Pinheiro: Good morning.
Ryals McMullian: Good morning, Mitch.
Mitchell Pinheiro: So I’m curious, in terms of geography, were there any areas that were surprisingly strong or below expectations in the quarter?
Ryals McMullian: No. I’d say, overall, Mitch, pretty even. A couple of highlights I would give you is the Northeast continues to perform really well for us. You know that’s a growth area for us. And so we, from a share standpoint, really performed nicely again this quarter in the Northeast. Mitch, it’s been a little tougher out west, particularly California. We’ve done kind of some background research to figure out exactly what’s going on out there. And really, you’ve got a state that already has very, very high cost. Fuel has been a better story for most of the country lately, but it’s still very high in California. Rent escalations, everything else. I think the consumer in California is just a bit more pressured perhaps than what we see in other parts of the country. And so as we’re looking at our share, we see a little bit more weakness out there on the West Coast right now.
Mitchell Pinheiro: Okay, thank you. And then when as you’re looking at your bakery capacity, and maybe future needs. I mean, do you still – do you have ample capacity within your current system? Or are we going to need to spend some money on some new bakery capacity in 2023 or start to think about it then?
Ryals McMullian: Yes. Good question, Mitch. So overall, we’re comfortable with where we are. There are pockets of needs that I would call out to you one that we already saw for with the new organic line in Henderson. So that takes care of days because we were really tight out there for a while, but we’re in good shape there. The other one I would call out to you is Canyon. It’s a good news story. Demand for Canyon is still very, very high, very pleased with how that business is progressing, but we’re super tight on capacity at Canyon. So we’re actively looking to solve that with a short-term solution and a long-term solution.
Mitchell Pinheiro: What’s your CapEx spending? I know we’re not talking 2023 yet, but is anything unusual for 2023 in terms of capital spend?
Ryals McMullian: No. I mean we’re not going to comment on it this time. But yes, the short answer is no. Pretty typical. Mitch, you have to factor in ERP. So just like this year, it will probably be a little bit higher than normal, but a lot of that’s the ERP implementation.
Mitchell Pinheiro: Okay. And then just the last question is in terms of your cake and foodservice, volumes were down, I think, 5%. I saw, in cake, I guess, units were down 12% in the measured and tracked channels. And I’m curious, say, what’s the outlook here for the fourth quarter and maybe into the early part ‘23? What cake is going to look like? Had margins begun to improve sales trends? What’s the strategy there in cake?
Ryals McMullian: Sure. So remember with cake now that that overall volume decline of 5%. Let’s start there. Most of that is cake and food service, okay, the lion’s share of it is. For the rest of the business, elasticities are well within the normal range that we were expecting for the year and frankly, below historical levels. But specifically for cake and food service, a lot of that volume decline, the lion’s share of it has been SKU rationalization and strategic business exits. So on purpose kind of stuff, reducing complexity, getting out of the lowest margin business, all part of that portfolio strategy that we keep talking about. As far as tracked channels go, the traction pick-up all of our cake business. So internally, sales were up substantially. And to answer your question, profitability is also up as well. So we are starting to see that margin improvement mesh that we’ve been working on for several years. And because of that and because of the stabilization that we’ve achieved, at Navy Yard in particular, we will start turning our attention back to actual growth. A lot of that growth in sales, obviously, has been pricing so far. We need to start innovating, get some new products out there, reintroducing the seasonal items, the things that you used to see up your way.
Mitchell Pinheiro: Okay. Thank you very much for the questions.
Ryals McMullian: Okay. Thanks, Mitch.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Stephen Powers from Deutsche Bank.
Stephen Powers: Hey. Good morning, everybody. Two questions for me, actually. The first one is on your innovation agenda. I guess I am just curious, as you size up the consumer amidst inflation and some of the other pressures you have talked about. Just does that impact your points of emphasis in terms of new product rollout as you think about the year ahead? I am just curious if your plans have changed at all over the past few months as you size up – again size up the consumer into the year ahead?
Ryals McMullian: Yes, a little bit. I mean obviously, we are focused on snacking. So, we have got DKB bars that are being launched nationally rather in January ‘23, very excited about that. But also to your point, we are looking at some things from a price-back architecture standpoint that could help in a recessionary environment should that come to pass. But overall, I wouldn’t say that it’s changed our innovation pipeline meaningfully, particularly when we talk about the agile innovation side of things, the actual new products outside of core categories. I would say it’s affected that at all. Maybe it’s affected a little bit more in some of the renovation type items that we are doing within the core business.
Stephen Powers: Okay. Thank you for that. And my second question is as you look at the Biden administration’s proposed rule changes under the Fair Labor Standards Act, I guess are there any implications at all in your business in terms of definition of employee workers versus independent contractors just as it relates to your distribution?
Ryals McMullian: Yes. So, we are – obviously, we are monitoring that. It’s in the comment period right now, which I think runs out sometime in December. But remember, too, that what this is doing is just going back to the rule that was in effect under the Obama administration. Remember, Trump changed the role. This is basically reversing that. Going back to the Obama rule, and obviously, we were able to operate fine in that environment as well.
Stephen Powers: Yes. Okay. Thanks a lot. Appreciate it.
Ryals McMullian: Yes. Thanks Steve.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jim Salera from Stephens.
Jim Salera: Hi guys. Good morning.
Ryals McMullian: Good morning Jim.
Jim Salera: I wanted to ask – you have talked in the past about private label type of play in this catch-up game on pricing and that’s driving some of the dollar sales strength versus branded. Can you maybe give us an update on kind of where the pricing gap stands now compared with before we had this bout of inflation. So, should we expect private label still has kind of a little bit more price to take before they normalize that gap to what it was pretty inflation?
Ryals McMullian: Yes. I would have to look at it specifically. I don’t have it in front of me, but I would say that the gaps are probably as we have taken branded pricing too. They may have narrowed a bit, but it’s also going to depend on what channel you look at from a retail standpoint, because obviously, it depends on what the retailer actually does.
Jim Salera: Okay. Do you think that as the private label – I know we are talking about low dollar entry price points. But do you think that as the private label price comes up it makes that trade down less attractive and you could actually get maybe some people that stay in the branded category just because the trade down to $3 is much less attractive than to $1.79?
Ryals McMullian: Yes. I mean you would think that, that would be the case. I want to wait and see if that actually happens. But you would certainly expect that to be the case. But again, the gaps are going to be a lot higher right now in mass. What you are seeing in grocery, and maybe this is a proof point relative to your question, what you are seeing in grocery are tighter gaps there and the performance for brand in grocery has been much better.
Jim Salera: Okay. Great. In the script, you guys talked about expanding beyond the core business. Do you think that the brands that you have kind of in the portfolio right now, specifically DKB and Canyon, do you think that you can use those brands to jump into new categories, or do you need to add something to portfolio that maybe kind of has an existing reputation in another category?
Ryals McMullian: Well, the direct answer to your question is absolutely yes. And I mean, like I said, we are introducing the DKB bars in January nationally. The results that we have had in test markets have been remarkable. The loyalty, the interest in that brand, DKB is just astounding to me. And so we will continue to push that brand further out, particularly in the snacking arena. We have a whole pipeline of products coming behind the DKB bars. We are testing high-protein bars right now in a couple of select test markets. And I think the same is true for Canyon. It’s just a smaller market, with Canyon, right. It’s not as big of a business as Dave’s. I mean Dave’s should reach around $1 billion in retail sales this year. So, we are to a point as far as scale goes right now where we think we have the right to play in other categories. The second part of your question, though, is we will absolutely continue to look for M&A opportunities where we can add brands to our portfolio that will likely play outside of our core business that can further strengthen that branded portfolio. So, it will be a combination…
Jim Salera: Yes. And I know you guys mentioned that you had an acquisition fall through and you don’t have to get in too much detail on that one specifically. But maybe just more broader details about some of the challenges that you faced in just getting a deal done kind of in the current environment?
Ryals McMullian: Yes. That one was an outlier, so it’s not really all that relevant to the conversation actually. But yes, I mean I would say that the pipeline has slowed a bit, honestly, just given the economic environment, interest rates spike in the way they had. I think things have slowed down a bit. We still have plenty in our pipeline, but the overall flow of deal activity has slowed. Now, prior to this, it’s the normal struggles with any deal, right. I mean you have got to make sure that your financial, operational and commercial conviction is there. You have got to make sure that the price is right and responsible and also have a seller that’s willing. And seller expectations, up until now, have remained pretty robust, that may moderate, we will have to see. But we intend to continue being proactive in the space. It’s always been an important part of our growth story, and I believe that will continue.
Jim Salera: Understood. Thanks guys. I will pass it on.
Ryals McMullian: Thank you.
Operator: Thank you. I would now like to turn the conference back to Ryals McMullian, President and CEO, for closing remarks.
End of Q&A:
Ryals McMullian: Thank you, Gigi, very much and thank you everybody for your interest in Flowers. We certainly look forward to speaking with you again next quarter. And we hope everybody has a wonderful and safe holiday season. Take care.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.